????? (????????): My name is Yamamoto. Thank you for participation. Now I'd like to present financial highlights. Page 1. As we disclosed at the Tokyo Stock Exchange and through our website at 11:30 today, the full year results for FY 2022 improved significantly year-on-year due to Powersports & Engine continuously performing well since the previous fiscal year and Aerospace Systems having less impact from the pandemic.
 Compared to our outlook announced in the previous earnings briefing in February, the January-March quarter ended largely in line with the plan, hitting a record net income of JPY 55 billion, exceeding JPY 51.6 billion in 2014, as a result, we plan to pay the dividend of JPY 90 per share, a JPY 20 increase from the previous announcement.
 Regarding the outlook for FY 2023, we project more appropriate income balance between mass production and order-based businesses. Thanks to better unexpected high performance of Powersports & Engine in the second half of fiscal year 2022 as well as our profit structure in Aerospace Systems being positive for profit improvement, along with passenger demand recovery and project growth in order-based businesses, such as Rolling Stock and Energy Solution & Marine Engineering as we in the Group Vision 2030 progress report meeting in December last year. As a result, revenue is projected at a record high of JPY 1.9 trillion with operating profit of JPY 78 billion. This is a summary of the financials. From Page 3, I will explain more details. 
 Page 3. In FY 2022, we took orders worth JPY 2,037.4 billion, with revenue of JPY 1,725.6 billion, operating profit of JPY 85.2 billion, recurring profit of JPY 73.2 billion and profit attributable to owners of the parent of JPY 55 billion. Orders received, revenue and profit attributable to the owners of the parent hit a record high.
 Starting from this earnings announcement, we are disclosing after-tax ROIC for your reference in order to promote our engagement with the capital market. Our view of cost of capital is on the 4% mark, and our income in FY 2022 exceeded our cost of capital. As indicated, weighted-average exchange rate of the Japanese yen was about JPY 22 cheaper year-on-year. The value of U.S. dollar-based transactions was about $2.05 billion.
 Page 4. This page shows orders achieved, revenue and business profit by segment. As indicated by number one, revenue and profit grew significantly year-on-year with Aerospace Systems seeing passenger demand recovery and the Powersports & Engine enjoyed strong outdoor demand as well as a tailwind of the cheaper yen. As indicated by number two, others and eliminations and corporate saw profit decline due to increased investment related to DX and IT infrastructure and an impairment loss was recorded in PCR viral testing service business due to Japan's downgrading of COVID-19. As a result, we ended the year with revenue of JPY 1,725.6 billion, up by JPY 224.7 billion year-on-year. The business profit increased to JPY 85.2 billion, up by JPY 54.9 billion.
 Page 5, please look the table for details. As indicated by number one, raw material costs rose, but the sales-cost ratio improved as a result of a steady price pass-through in mass production businesses sales volume increased and the depreciation of the Japanese yen. As you see in number two, selling, general and administrative expenses increased mainly in the headquarters' departments. This is due to increased expenses for the area mentioned DX, digital transformation and for hydrogen and other new businesses.
 As indicated by number 3, we had posted a loss provisioning due to rising steel materials at the joint venture in China in the previous fiscal year but with an improving trend and positive turnaround, thanks to the renminbi's depreciation in this fiscal year. Share of investment accounted for using equity method was JPY 3.3 billion, up by JPY 17.7 billion. As a result, business profit was JPY 85.2 billion, up by JPY 54.9 billion year-over-year.
 Page 6, income statement. Finance costs increased year-on-year. This is due to a valuation loss on assets denominated in foreign currencies with the yen's appreciation for the period-end rate in FY 2022 and due to the time difference between deposits and withdrawals. This does not pose as an issue. The profit attributable to owners of the parent was JPY 55 billion.
 Page 7. I will explain the factors contributing to a change in profit. The year-on-year depreciation of the yen improved profit by JPY 64.5 billion. Higher raw material prices pushed up our cost, but it was offset by price pass-through and fixed cost reduction. Furthermore, Power Sports & Engine continued to enjoy strong sales, gaining JPY 8.2 billion more in revenue. Although Power Sports & Engine was able to pass cost increases steadily and maintained a positive product mix effect from the previous quarter. Total business decreased slightly due to a loss posted in PCR viral testing service business. As a result, business profit stood at JPY 85.2 billion, up by JPY 54.9 billion year-on-year. Please refer to Page 8 for more details by segment.
 Page 9, changes in assets for FY 2022. As marked by number one, Power Sports & Engine and Aerospace Systems saw sales growth, which also resulted in increased trade receivables. As marked by number two, production increases in these 2 businesses and Rolling Stock also increased inventories.
 Page 10, this slide shows in the liabilities and net assets. As indicated by number 3 and 4, production increase mainly in Aerospace Systems, resulted in increased trade payables as our liabilities also increased due to receivables liquidation. Net D/E ratio was 77%, achieving our benchmark level. We will continue to enhance asset efficiency by promoting the collection of accounts receivables and by controlling inventories.
 Page 11. Box #1 shows the cash flow from operating activities. Despite the high level of profit before tax, with increased working capital, such as an increase in trade receivables and inventories due to a recovery in Aerospace Systems and a strong performance in Powersports & Engine and increased advanced payment to suppliers on the back of advanced money received at the end of the previous fiscal year, the cash flow from operating activities deteriorated by JPY 133.2 billion year-on-year but ended with positive JPY 23.6 billion. The cash flow from investing activities decreased by JPY 19 billion to negative JPY 77.4 billion. This was mainly due to capital increase to our equity method affiliate, Medicaroid. The total free cash flow was negative JPY 53.8 billion, down by JPY 152.3 billion year-on-year.
 Page 12 shows historical cash flows over the past 10 years for your reference. 
 Page 13. In fiscal year 2023, we project significant revenue and profit increases in Aerospace Systems, steady overall sales in Powersports & engine continuing from a very strong FY 2022 and the revenue increase in other businesses.
 Revenue is projected to reach a new high of JPY 1.9 trillion, up by JPY 177.4 billion (sic) [ JPY 174.4 billion ]. Business profit is projected to decline because we factored in sales promotional expenses to increase due to a recovery in the inventory level to the normal year level, particularly in the North American market and the sign of a slowdown in the retail market. On the other hand, order based have been improving in line with our expectation. And profit is net positive, [ say ] for FX impact, at JPY 78 billion, as indicated in the Group Vision 2030 progress report meeting in December last year.
 Profit before tax will be JPY 70 billion, with profit attributable to owners of the parent of JPY 47 billion. These are minimum levels for us, and we will strive to improve these. After-tax ROIC is planned at 4.9% for FY 2023, down by 1 percentage point year-on-year. We will aim to improve our capital efficiency and to enhance our corporate value through wider ROIC spread, which is a difference with cost of capital.
 Our currency assumption for this projection is JPY 130 to the dollar, about JPY 4 stronger compared to the actual exchange rate in the previous fiscal year. U.S. dollar-based transaction is planned at $2.52 billion, up by about $0.5 billion year-on-year due mainly to increase the sales of Aerospace Systems.
 Page 14. Segment breakdown is shown in the table. I will go into more details on segment specific slides.
 Page 15. Although orders for component parts for commercial aero engines increased, overall orders received decreased year-on-year due to large orders for the Ministry of Defense received in the previous fiscal year. Both revenue and business profit grew significantly year-on-year driven by passenger demand increase and longer flight hours in aero engine business and increased sales for Boeing. 
 Our forecast for FY 2023 is both orders received and revenue to increase for the Ministry of Defense and Boeing as well as for components parts for commercial aero engines. Business profit is also expected to increase due to revenue increase.
 Page 16. This slide is for your reference, showing orders received in revenue by aerospace and aero engine, number of component parts sold to Boeing and the jet engine components sold.
 Page 17 shows the quarterly revenue and the business profit over time. You can see the historical trend. This is also for your reference.
 Page 18. This page describes our view of the business environment and order trend as well as specific efforts and initiatives to achieve the earnings targets. There is no significant change from our previous announcement, but we made an additional redevelopment of supply chain and arrange a production system to prepare for demand recovery in order to secure stable earnings base in our core businesses.
 Page 19, orders received for FY 2022 increased significantly by JPY 241.7 billion year-on-year due to major orders for new subway cars for New York City Transit. Revenue grew slightly increase in the U.S., and the business profit stood at JPY 1.3 billion, continuously positive from the previous fiscal year. Although we recorded a loss due to delayed Long Island Rail M9 project in the U.S. For FY 2023, with the commencement of R211 project deliveries for New York City Transit, revenue is forecast to increase by 44% year-on-year to JPY 190 billion. And the business profit is also to increase along with the revenue increase and we'll progress for profitability improvement.
 Page 20. This page shows orders received in revenue in domestic and Asia and in North America. For your information, appendix shows sales from high-margin aftersales service and the progress of the M9 project for Long Island Rail Road in the U.S.
 Page 21. This page shows the quarterly trend of revenue and the business profit for your information.
 Page 22, Rolling Stock market overview has not really changed since the last announcement. Specific efforts were updated with delivery schedules of overseas projects. The status of the R211 project is also updated for your reference.
 Page 23. FY 2022 results are shown in this slide. Orders received made a big jump year-on-year, driven by increased orders for submarine, LPG/LAG carriers and power generation facilities. Revenue is up, thanks to an increase in energy business and the construction work for submarines for the Ministry of Defense. Business profit was short of the forecast announced in February due to lower profitability in some projects, but stood at positive JPY 3.9 billion, a JPY 14.7 billion improvement from equity gains in affiliates year-on-year. Regarding FY 2023 outlook, order is forecast to decrease because of the year-on-year effect. Revenue is to increase, thanks to energy business increase, and the business profit is forecast at JPY 9 billion, up by JPY 5.1 billion on the back of revenue increase.
 Page 24, this page shows orders received in revenue of energy, plants and the marine machinery business and ship & offshore structure business for your reference.
 Page 25. This page shows quarterly trend of revenue and business profit for your reference.
 Page 26. This page shows the market overview of this segment. As indicated under specific efforts for this fiscal year, we received orders for 7 LPG/LAG carriers in FY 2022. These are products contributing to realize low carbon and a decarbonized society. Since August 2021, we have been taking 12 back-to-back orders for carriers, securing an ample amount of for us to start constructing large liquified hydrogen carriers in the mid-2020s. We will continue to establish our leading company position towards realizing liquified hydrogen supply chain. We are also focusing on developing and launching products during the transition to realizing hydrogen society. And this slide shows some representative cases for your reference. 
 Page 27. FY 2022 results as shown in this slide, revenue was flattish year-on-year, driven by various robot sales despite a drop in hydraulic components due to a temporary contraction of the construction machinery market in China. Business profit declined considerably by JPY 5.1 billion year-on-year to JPY 8.7 billion on the back of sales decrease due to the earlier mentioned contraction of the Chinese construction machinery market as well as higher cost of electrical components and raw materials and the China's lockdown.
 We believe, however, that demand will recover. And in our FY 2023 forecast, revenue is expected to increase by an increase in construction machinery market in developed countries. And we also expect business profit to increase driven by revenue increase and improved equity gains in affiliates.
 Page 28. This page shows orders received in the revenue of Precision Machinery & Robot as well as revenue of hydraulic components to China and revenue of robots by segment for your reference.
 Page 29. This page shows quarterly trend of revenue and business profit for your reference.
 Page 30. This page shows market overview. Regarding specific efforts, we started to take orders for energy-saving hydraulic hydrogen compressors for hydrogen stations. These are new hydrogen-related products towards realizing decarbonized society. These products achieved a substantial energy conservation vis-a-vis existing products. By integrating our motor hydraulic pump unit ECO SERVO in addition to hydrogen gas compression control technology.
 For open innovation promotion, we opened YouComeLab in Future Lab HANEDA located adjacent to the Haneda Airport. This is an open innovation facility for start-ups, academia and research institutions. Our partners can use our service robots at this facility and develop and demonstrate application software freely. In order to solve a social issue of labor shortage, we will further accelerate the adaptation of robot in society with our partners.
 Page 31. This slide shows the FY 2022 results. Revenue grew strongly year-on-year due to an increase in motorcycles for North America and Southeast Asia, an increase in 4-wheelers for North America and the general-purpose gasoline engines. In addition to the impact from the yen's depreciation and price pass-through. Business profit was JPY 71.5 billion, hitting another record continuously from the previous fiscal year as a result of a price pass-through in spite of higher raw material prices, logistics and fixed costs.
 Regarding FY 2023 forecast, revenue is expected to decrease slightly to JPY 580 billion. This is on the back of a continued recovery in motorcycles for emerging countries despite the decline in motorcycles for developed countries and the stronger yen in our currency assumption. Business profit expected to decrease by JPY 24.5 billion to JPY 47 billion. Because we view sales promotion cost to increase in order to cope with intense competition led by inventory recovery in the motorcycles market for developed countries.
 In the North American 4-wheeler market, where market expansion is expected, we will have larger production capacity with our new plant in Mexico, which is under construction now, enabling us to launch a wider array of models with project revenue to start growing again after FY 2024.
 Page 32. This page shows revenue by subsegment, namely motorcycles for developed countries, motorcycles for emerging markets, utility vehicles, ATVs and PWCs and general purpose gasoline engines. In addition to wholesale of motorcycles by country, we included a wholesale plan for FY 2023 by category, namely developed countries motorcycles, emerging countries motorcycles, 4-wheelers and PWCs.
 Page 33. This page shows quarterly trend of revenue and business profit for your reference.
 Page 34. This page describes market overview of Powersports & Engine for your reference.
 Page 35. Regarding shareholder return, we plan to increase the fiscal 2022 year-end dividend by JPY 20 to JPY 60, resulting in an annual dividend increase of JPY 40 from the initial forecast to JPY 90 per share. Full year dividend for FY 2023 is planned at JPY 80 per share at present.
 Page 36. Let me report 3 project topics today. I'd like to first explain the outlook for our civil aerospace and aero-engine business related to the aviation market, which is strongly recovering from the pandemic. Aerospace Systems were a core contributor to our total profit with operating profit exceeding JPY 40 billion in 2019 before COVID, but the pandemic changed its business environment dramatically and the loss of more than JPY 30 billion was posted in FY 2020. However, in FY 2022, we posted a profit of JPY 17.8 billion with the recovery in air traffic demand, turning profitable again for the first time in 3 years.
 In addition, as indicated in the slide, strong orders for Boeing 787s indicated production to increase going forward. We will aim for growing Aerospace Systems further from this fiscal year. 
 Page 37. In this slide, I will present a review of PCR viral testing service business and its future prospects. We started to develop automatic PCR testing using industrial robots in the spring of 2020 to prevent infection risk of health care professionals who were fighting against COVID-19 and to contribute to an early recovery of the economic activities. We have been offering full-scale services 1 year later in the spring of 2021. We have contributed to prevent the expansion of infections by testing 850,000 samples over a 2-year period. However, note that COVID infection is downgraded to class 5 from class 2 status and with sharply declined demand for testing, we posted the valuation loss of asset holdings in the fourth quarter of FY 2022.
 However, this business accepted the large number of people from Aerospace Systems where business sharply deteriorated under the pandemic and workforce became redundant. And this business contributed to fixed cost recovery for the company as a whole. And through this business, we believe we were able to gain knowledge and expertise by acquiring the mindset of market in services and many talented people and by establishing good relationship with government ministries, municipalities and hospitals. We will leverage our knowledge and expertise and engage in developing new businesses in health care segment, such as genome analysis, drug discovery support and other medical examination business and supporting in-hospital operational efficiency improvement.
 Page 38. This is the last interaction of project topics. Let me introduce our hydrogen business, which is positioned as core next-generation business for our company. At present, we have been working with our partner companies in the liquefied hydrogen supply chain commercialization project. As a part of NEDO's Green Innovation Fund Project with a target of procurement of 225,000 tons of liquefied hydrogen from overseas and commercialization in 2030.
 In March this year, sites for shipping and receiving liquefied clean hydrogen were selected at Porto Hastings, Victoria, Australia; and Kawasaki City, Kanagawa, Japan, respectively. This selection will commence the construction work of the shipping and receiving bases. As explained, the respective development is progressing steadily towards realizing hydrogen society. We will continuously aim to establish clean liquified hydrogen transportation technology to partner with users and the local governments, conducting hydrogen power generation demonstration and to contribute to build a commercial scale global liquified hydrogen supply chain towards realizing carbon neutrality by 2050.
 Page 39. Since this is an year-end results briefing, I would like to introduce our ESG-related topics. In the first slide, let me explain our initiatives for reducing CO2 emissions. We have set targets for scopes 1 and 2 in the past to achieve net CO2 emissions internally using in-house hydrogen power generation by 2030. Last year, we announced that we would target net-zero group-wide CO2 emissions grew 80% emissions reduction by 2040 under scope 3 category(1) and by shifting all solutions CO2-free by 2050 under category(11).
 As introduced in the bottom left of the slide, we were selected as the best practice for TCFD Guidance 3.0 case examples published by the TCFD Consortium. We were highly regarded as illustrating the initiatives in an easy-to-understand way by major category. Please check it out with the QR code in the slide. 
 Page 40. Next, I would like to present that we were selected as A-List company, the highest rating by CDP, one of the world's leading ESG evaluation agencies, evaluating climate change response strategies and CO2 emissions reduction initiatives. We believe that our active initiatives for transparency in information disclosure and performance were recognized in the climate change survey, and we are the first A-list company in the heavy industry sector. We will continuously contribute to early realization of a decarbonized society by offering solutions for achieving carbon neutrality. Please also refer other major ESG topics for FY 2022 in this slide, such as the selection our integrated report issued last year as the most improved one by GPIF, Government Pension Investment Fund of Japan.
 Page 41. From this slide onward, contain information regarding capital expenditures, depreciation, R&D expenses, the headcount at the year-end and so forth. This concludes my explanation. 
?????: I am President Hashimoto. I will explain the relationship between the content of FY 2022 earnings results and the growth scenario presented in the Group Vision 2030. First of all, although we achieved the highest net income in this fiscal year, we have finally reached the lower end of our business profit target range 5% to 8%. We will first work to achieve 8% business profit and then 10% or more business profit.
 On the other hand, in terms of the 3-step growth scenario outlined in the Group Vision 2030, that is first, mass production business will drive earnings, followed by a recovery in the aviation business and other order-based businesses. And finally, significant growth in new businesses such as hydrogen. We are at the stage where the first step, mass production is driving earnings. And the second step, order-based businesses are returning. The record net high income shows that we are on track with our growth scenario.
 Looking back, the aerospace business, which had led the group's earnings before 2019 experienced a sharp decline in demand from 2020 due to the pandemic and company-wide reforms were urgently needed to ensure future business growth. Under such circumstances, as one of the policies of the Group Vision 2030 announced in October 2020, we have decided to establish the Rolling Stock business and the Powersports & Engine business as a new company from October 2021, ensuring a steady decision-making structure as well as to establish the mass production business as a driver of earnings and cash generation, along with the Precision Machinery & Robot business.
 As a result, the Powersports & Engine business of Kawasaki Motors has developed the structure that enabled it to provide products in a timely manner to meet the strong demand in the North American market. And at the same time, it has improved its profitability by making prompt decisions in situations of rising logistic costs, semiconductor shortages and the price pass-through. And over the past 2 years, the business has grown to generate more than JPY 100 billion in cumulative business profit.
 In the Precision Machinery & Robot business, we have also been able to secure stable earnings by capturing the steady needs for construction machinery and automation and have made a significant contribution to improving profitability in the mass production business. 
 On the other hand, in the Rolling Stock business of Kawasaki Railcar Manufacturing, we have identified risks in the North American business, which had been posting consecutive losses. And the entire group has been working on countermeasures to address these risks. As a result of our selective order intake and taking orders at appropriate prices, we have secured profit for 2 consecutive years since FY 2021 and are on track to increase profits going forward.
 In the Energy Solution & Marine Engineering business, in addition to focusing on hydrogen as a future business, we have been strengthening our measures to minimize the risk of loss by carefully examining project risks in advance. Our group's overall earnings ability has improved through these efforts.
 As you are aware, demand for aviation is rapidly with the containment of the pandemic. And in FY 2023, the profitability of the order-based business will improve as the Aerospace Systems business fully recovers.
 As explained in the announcement of the group Vision 2030, we will shift to a stable management structure that can both earn profits from the second step of order-based business, along with the profit-making first step of mass production business.
 I will also briefly explain the progress of 3 focus fields set forth in the Group Vision 2030. Regarding safe and secure remote society, the medical robotics business is steadily expanding with robotic-assisted surgery system hinotori of Medicaroid, a joint Sysmex and the PCR testing service business using robots, which was started as a pandemic countermeasure will be developed into the medical health care business, which includes medical testing for genome analysis and drug-discovery support, even after COVID-19's downgrading to category 5 by leveraging the knowledge acquired in the medical health care area.
 In addition, many new initiatives are well underway, including a new platform business through remote robotics in collaboration with the Sony Group and the development of an indoor location-based service business by iPNT-K. As for near future mobility, the demonstration of the armored helicopter K-Racer is used for [ dual use ] and delivery robots for use on public roads and in hospitals, are progressing smoothly.
 In the hydrogen business, as an energy and environmental solution, we are collaborating with many governments and companies in Japan and around the world. Based on our world-leading liquefied hydrogen technology, which has gained recognition to become a byword for Kawasaki Heavy Industries. We expect these new businesses to grow significantly and contribute to profits from FY 2025 onwards as the third step in our earnings.
 Finally, we have not changed our cautious outlook for FY 2023 with respect to variable factors. And although we currently plan to pay a dividend of JPY 80 per share, we are aiming for further improvement in profits and the increase in dividends. And as I explained earlier, we expect the upward trend we have depicted in our growth scenario to become more certain from FY 2024 onward.
 We look forward to your continued support and encouragement. Thank you very much for your attention.
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]